Ignacio Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2021 First Quarter Results Presentation. Secondly, we wish you healthier 2021 for all of you and your families. Now on to the reason we are all here, our Q1 results presentation, which will follow our normal format. Firstly, we will begin with an overview of the results and the main development during the period given by the senior executive team that we have usually with us. Our Chairman and CEO, Mr. Ignacio Galan; Mr. Francisco Martinez Corcoles, Business CEO; and finally, the CFO, Mr. Pepe Sainz. Following this, we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web. So please ask your question only through our web page www.iberdrola.com. Additionally, we expect that today's event will not last more than 60 minutes, hoping that this presentation will be useful and informative for all of you. Now without further ado, I would like to give the floor to our Chairman and CEO, Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Ignacio Galan: Good morning everyone and thank you very much for your participation in today's conference call. The results we are presenting today demonstrate our commitment to promote grid recovery and sustainable growth in our geographies. In the first month of 2021 Iberdrola is performing better than expected despite COVID-19 and its negative effects on economic activity. The key ratio for this positive evolution are higher revenues, moderately increased demand, more production, neutrality frameworks, higher number of contracts and better prices. And also for our ongoing effort or operating efficiency we net operating expenses flat, despite the increase in activity. We have also accelerated our investment with all our major project most of them in offshore wind achieving relevant milestone. This is allowing us to contribute the economy recovery with close to 6,000 new internal records globally in the year. In several -- of 1,000s of new jobs created along the supply chain, the integration of PNM resources or New Mexico [Indiscernible] are progressing better than anticipated as well. We’re continuing improving our financial profile driven by increasing cash flow in the current volatile markets we maintain FX impact better than expected due to our geographical variation and our aging policy. All these has allowed us to offset unexpected negative factors that happen in the first three months like the COVID impact, as I mentioned, which unfortunately still affecting some of our markets and also the impact of major weather event in Spain with storm in Mexico. As a result of these factors in the first quarter of the year, our net profit increased by 12% to €1 billion and €82 million. Reported EBITDA reached €2,140 million up [Indiscernible] excluding COVID and foreign exchange impact EBITDA grows 12% showing the group strong underlying performance. Investment increased by 45% to more than €2.5 billion confirming deceleration anticipated in February, despite the difficult external circumstances. With 8,700 megawatts of renewable capacity currently under construction and a 65% growth in network investment. Thanks to these green investments in January alone we have incorporated close to 2,500 professional global group. We combined growth with an even stronger financial position as shown by all our solvency ratios in our liquidity to close €17 billion. Driven by all these factors enough to record year reached in 2020 the Board of Directors proposed to the annual general shareholders meeting a total remuneration of €0.42 per share 5% increase compared with the previous year. A reported EBITDA as I mentioned was up 2% to €2,140 million mainly thanks to the good performance of our renewable business with degree almost 30% excluding COVID effect of €65 million and foreign exchange which amounts 231 million adjusted EBITDA growth 12%. Renewables EBITDA reflect the contribution of new operating assets like Sanga One in the UK that grew largest offshore -- and a higher production of existing assets driven by increased availability allow factors mainly in onshore wind in Europe and in Brazil and hydro power in Spain. Growth in net EBITDA was driven by increasing results in United States. Thanks to the new case approved in November 2020. Additional transmission project intelligence reviews in Brazil. [Indiscernible]. Finally, generation and supply was affected negatively by higher electricity prices to the storms in Spain and Mexico. The contribution of a rated -- to EBITDA like United States, UK, Spain, Germany, Australia, France reached 81%, reflecting the group optimal geographical diversification. As mentioned, over the quarter we have accelerated our investment up to €2,500 million, 45% more than the first quarter 2020. With 92% located to renewables and networks, in the coming quarters, we will continue to progress in line with our plans. And doing our part to promote a greater recovery through the creation of activity and jobs in the communities where we operate. Network represents half of the total investment up to 65% driven mainly by Brazil which includes €400 million [Indiscernible] Brasilia expanded in United States. Renewables investment increased by 30% with growth coming mainly from the European Union countries, Australia and United States. We continue to lead the bill out of a new renewables in all our markets. In Spain since the beginning of 2020 we have installed more capacity than the three next competitors together. And we have 1,700 currently under construction. Globally 130 has been built mostly in Europe and country like Portugal, France or Germany as well as Australia, with almost another third United States and the remaining 30% mainly in Spain and Brazil. And by technologies 2,600 megawatts correspond to offshore wind in Europe and United state 2,800 megawatts of solar PV, 2,000 megawatt of onshore wind and 1300 of technologies including Tamega hydro facility as well 150 megawatt battery located in Australia, Ireland and UK. And we are other secured project, we are though their secured project will reach 18,750 megawatts. This mean we have secure already 100% of the capacity for 2021 and 2022 and three quarters of our target for 2025 when we expect to reach 60,000 megawatts of renewables. We also continuing and define another new high quality project in our pipeline. We reached 78,000 megawatt with unexpected success rate on more than 60% in which a balanced mix that include more than 20,000 of offshore wind. For the last two months, we have expanded significantly our portfolio in this technology market with high growth potential an ambitious target. In Japan, the country with the largest offshore wind target worldwide 45,000 megawatts, we have closed two transaction creating harbor more than 3000 megawatts of projects. We also reach agreement to gain access to land project in Sweden and Poland. They will mature over a decade. A very recently entered offshore market we do project of 600 megawatts each. The country's already preparing action to achieve a target of 15,000 megawatts of offshore wind by 2035. Finally, we close in agreement to develop the 3,000 megawatts in Ireland and we are already working in the Brazilian market as well. After 14 years of working in the offshore wind industry today we have a team of highly skilled professional of 30 different nationalities fully dedicated to offshore which in the next month will reach 1,500 people. In 10 offices are across the globe in engineering construction and maintenance with operation coordinator for call centers in Boston in London in more recently also in Tokyo today below the Asia-Pacific market. And we are expanding our presence in a hub approach to combine critical mass and global know how with a strong local support. All these together with our proven track record of prior delivery and our long term strategic agreement with suppliers. That reinforces Iberdrola's excellent position to lead offshore wind and benefit from the impressive momentum or this technology all over the world. We want to take full advantage of our expertise at -- to reach at least 12,000 megawatt operational by 2030. We already have 1,000 random operation in the UK and Germany, which contributed close to €300 million EBITDA last year. And for prior construction total in 2,600 megawatt without a progression according good plan. 500 megawatt temporary project in France will be commissioned in 2023. Already in construction and in the United States being their win of the coast of Massachusetts, we become the first largest scale of offshore wind in the country. The project completed yesterday on permitting authorization process with a record of decision to meet -- in a security Massachusetts electric distribution companies. In the wind already secured PPA with the state of Connecticut as well with 100 megawatt and is progressing through the permitting and procurement process. Finally for the Balti Eagle in Germany, we nearly 500 megawatt we close the SEC selection of main contractors, and they started the construction of the offshore service station, with full commission of the wind expected by 2024. This project already under construction announces in the next 18 months we'll bring new routes to market for the our project in different geographies. We already have 3,600 eligible to compete in auction that will take place in the United States. In UK 3,100 is on the hub will be ready to participate in the fourth round of our location contract for difference and in Germany 300 megawatts project will take part of the next offshore wind auction with a preferential right for the site. We also have project to compete in the next three auction in Japan and are looking at process in France -- has already been pre-qualified up to 1050 in normal megawatt Normandy, Poland and Denmark. Moving to networks. These business take 50% of the group investment with increases in all markets. In United States, The New England clean energy Connect transmission project initiated construction last January. The first -- had been installed and words of the DC converter station have started. These high voltage transmission lines to transport zero carbon hydro generation from Quebec to New England will involve a total investment of almost $1 billion. In your estate, the Rochester area reliability project was fully completed after seven years of work. And we are increasing transmission and distribution investment following the new rate case closed last November. In Brazil network investment almost tripled, driven by the integration of the distribution of Brasilia increase investment in companies and the significant expansion of the transmission grid driven by the auction won in the last year. Finally in Spain, we continue to invest in development of smart grid and distribution enforcement. But as recognizing the international integrated energy and climate plan, more investment will require in the future to achieve its main decarbonisation target. We already have presented to the government a plan of [Indiscernible] million for this activity will represent 80% more than the previous period providing a great tool grid recovery in the country. The group performance is fully reflected in our generation of cash flow we reached €2,270 million in the first quarter up 7%. As a result of our financial ratios improved with net debt growing 140 basis points to 23.2%. In addition our liquidity position reached €17 billion proving our access to financial to finance in a very competitive terms. Over the first quarter to give us an example Iberdrola sign the new credit line with 21 banks linked to sustainable indicators for trade 2.5 billion in launching the largest sustainable commercial paper program of a Spanish company with a maximum balance of 5 billion link it to our contribution to United Nations Sustainable Development Goals. With these two transaction, the group global leadership in green and sustainable financing reaching €32.1 billion to-date. As you know our listed subsidiaries of [Indiscernible] released their result in the last days showing their strong performance. In the case of -- profit increased by 50% to $354 million, EBITDA reached $750 million up 21% thanks to the increase in renewable scenarios. Gross impairment rose by 24% to $663 million in the case of renewable the company's building 1,600 megawatts of offshore wind, 900 megawatt of solar and 400 offshore wind. In network investment grew by 42% following the proven new rate case I've mentioned. As you know, we also expect to close the transaction with PNO resources of New Mexico in the coming months creating additional growth opportunities for our network business. Permit had already been obtained, as well as the approval from the public utility commission in Texas last week and the company has reached a settlement with several key parties in New Mexico show the transaction is on schedule to close in the second half of the year. The performance of these quarters has even increased in the company guidance with full year's adjusted net profit now expected to reach between $696 million and $750 million in 2021. They will represent an increase up to 21%, compared to 2020. In the case of energy in Brazil registered 50% increase in EBITDA to 2,284 million driven by ongoing investment in the network business in a strong growth in renewables. These together with a reduction of financial expenses led to a 75% increase in net profit exceeding 1 billion rise for the first time in a quarter in the company history. Following the review yes approved by -- itself company up to March 2025 all new energy distribution companies have already regulatory framework fix at least up to April 2023. Gross organic investment increase almost by 85% to R$2027 million more relocated to construction interest mission project, the expansion of distribution networks and the addition of more than 1,000 megawatt of wind capacity. As I said, the distribution Brasilia acquisition was closed in early March. This integration is moving faster than expected. The company has achieved already one of the best for quality supply, even recorded and we expect already positive contribution from April. Our investment plan for the coming years are increasing supported by global ambition and climate action. The consensus on this idea was shown once again in the leader summit on climate organized by the Biden administration three weeks ago where major economist announced reinforced target to achieve next year emission. The European Union was led at elite action globally for years reach an agreement for new climate law that included an emission reduction target of at least 55% in 2030 from 2019 level. United Kingdom which will host the upcoming in Glasgow increase his reduction commitment for 2035 to 78%. This is the world's most ambitious target in comparative terms in this moment. In after United States region in the Paris Agreement, the country has now committed to cut the emission at least by 50% to the end of the decade compared by 2005 levels. By the transformation of energy sector implies by this announcement will only be implemented in areas between target energy policies and regulation. And we also have a good news on this from. Some government are already creating the framework required to renege zero and this is I think time to build back better from the pandemic. In the case of the United State American plan with dedicated $100 billion to reach a fully decarbonized power system by 2035 with more tax incentive to promote investment in renewable, storage, high voltage interconnectors. There will also be an additional initiative to modernize electricity grid and boost innovation in technologies like green hydrogen. The federal administration is also promoting their enrollment of the offshore wind industry with more than just permitting a new areas to read 30,000 megawatts of capacity by 2030. In Spain, the climate change in any transition law is concluded approval process and the government has already submitted to European Commission, his recovery and resilient plan, choosing clean energy investment as one of the main destination for European Union funds. A proposal to create capacity market has also been published. We still have to see the final version of this regulation. But this shows the awareness of Spanish authority about the relevance of maintaining capacity in the system and bring in more storage to secure supply in the context of growing penetration or renewable generation. Finally, the UK is promoting his green industrial revolutions. Based on the 10 points plan they support initiative in offshore wind, green and building, cars and green hydrogen. These increased climate ambition is fully aligned with a very pioneering strategy. We anticipated any transition 20 years ago and they started thinking decision at that time. To close, all our coal and oil power plants and to invest heavily in renewables networks and storage. Over this period of 20 years, we have often found the position of energy company regulators in climate change deniers. Fortunately, today, there is a consensus on the need to reduce emission instead of opponent with only have competitors. And we still continue improving this first quarter of the year we emitted only 28 grams of Co2 per kilowatt hour produced, which is around 10 times less than average emission in our peers. On top of that, 90% of long term plan is included in the list of investment considered sustainable by European Commission in its taxonomy. We have also seen a column for production. This will avoid additional risk as well as the commissioning and labor costs that other competitors will probably need to incur. And for green investment, we will accelerate net zero and contribute to economic growth and the occasion of 1,000 of qualified jobs. Only in Spain, our investment actual investment are sustaining 30,000 new jobs in our supply chains. But the challenge is skewed. Net zero implies transforming the energy consumption oil sectors to promote electrification and investing in the renewable energy power networks and energy storage required to support it. We need all public and private agents on board and Iberdrola after two decades leading this effort is now creating similar strategic alliance with major companies from different industries to accelerate green investment. In the financial centers, we have for many co-investment vehicle with a leading insurance company to accelerate the built out of solar PV and onshore wind in the country. With also partnering with other energy companies especially with larger scale investment projects mainly offshore wind like the -- with a joint venture to participate in the next auction of offshore wind in Denmark and to develop onshore wind install operate together in France. In elegant mobility we have our close industry partnership with leading car manufacturers like Volkswagen, Mercedes, plus later deployment of charging infrastructure, manufacturer batteries, create the value chain for electric vehicles and their facilities. Also with charging system developers. And we are entering commercial alliance with leading distribution company run to totally -- their fleet. Finally, we are closing agreement with industrial companies’ interest in reducing the carbon footprint to lead development of green hydrogen for different uses. Green ammonia production for area, the supply of hydrogen to the fleet of buses for Barcelona Metropolitan transport company, the generation of heat in distilleries for companies like in the UK, or they produce [Indiscernible]. This agreement in synergies are the ones need to take full advantage of the potential of the common European recovery funds to create job in industrial development. In our previous presentation, I announced we had proposed more than 150 per year for the span recovery transformation and resilience plan to access to the new generation new program involving close to 350 small and medium sized companies we will mobilize investment for more than 21 billion. But we have continued working with several companies to renew, our proposal for National Grid recovery. As a result, we are ready to taking part in 175 project with a C30 billion Euros in basement with a capacity to generate 60,000 jobs along the supply chains. I can say then all our projects are included in the scope of the plan presented by the Spanish government in Brussels. I will now hand over to the CFO who will present the group financial results further detail. Thank you.
Jose Sáinz: Thank you very much, Chairman. Good morning to everybody. As you can see in this light first quarter reported EBITDA was 2,814 million up 1.5% versus last year excluding 65 million COVID impact our adjusted EBITDA increased almost 4%. FX impact in this quarter has been large 231 million after the evaluation of all our reference currencies $9.1, €3.7 and 27% the Real excluding also the FX impact our EBITDA would have grown 12.2% showing the real recording performance of the business as the first quarter of 2020 was marginally affected by COVID. Revenues increased 7% to €10.1 million and procurements 12.4% reaching 5.5 billion. Gross margin rose by 1.3% to €4.6 billion and 10.7% excluding COVID an FX impact. Net operating expenses remained flat at €1 billion thus improving the efficiency of the group by 110 basis points as gross margin grew by 1.3%. Excluding positive FX impact net operating expenses grew 99 million due to the contribution of new businesses including Brasilia from second of March onwards as well as a storm cost in the US. From Q1, 2021 onwards next cisternal services include as other operating results, they gain and loss on the sale of control assets following the Spanish Securities and Exchange Commission recommendation. And one draft expected to be approved. In this respect Q1, 21 has not registered any relevant amount. In the annex in page 44 there is a more detailed explanation of this change. Analyzing the results of the different businesses and starting by networks EBITDA grew 4.3% to €1.3 billion and 19.5% excluding 161 million negative FX impact and 26 million negative COVID impact that will be partially recovered. Excluding FX and COVID impact EBITDA grew in all geographies. As you can see in this slide Spain contributed 32%, Brazil reach 25% the U.S. were 23% of the total and the UK contributed another 20%. In Spain, EBITDA grew 8.8% to €421 million due to the impact of 15 million of positive self settlements from previous years as a consequence of improvements in quality and 11% lower net operating expenses driven by efficiency plans, and despite lower remuneration that came down from 6% in 2020 to 5.58% in 2021. In the US IFRS EBITDA was 17% up to $358 million due to increase in investments and to pass cost recognition but affected by storm costs. Excluding COVID impact, EBITDA would have grown 21%. U.S. GAAP EBITDA amounted $438 million $125 million over IFRS EBITDA mainly due to the difference in the timing of accounting of that in the IFRS are fully accounted in the Q1 and in the U.S. GAAP along the year. In Brazil, EBITDA grew 44% to R$2126 driven by 338 million positive impact from reviews in distribution companies and increasing contribution from transmission assets. 8 million are due to the near Brazil integration from March 2 as well as cost condition due to efficiency plans, excluding COVID impact on demand, EBITDA would have been growing 48%. Finally in the UK, EBITDA fell 1.6% to £235 million affected by 7 million lower demand due to COVID. Excluding COVID EBITDA would have grown 1.4%. In renewables, EBITDA grew close to 28% to €932 million and 34% excluding 46 million of negative FX impact driven by strong growth in Spain, the US, Mexico and Brazil production increased 19% with 8.5% more install capacity, that rich 35,200 megawatts or higher load factor with average price in Spain and the U.S. As you can see in the slide, the Spain contributed 35% to EBITDA UK 25%, the US 23% and the Iberdrola Energy International 10%. In Spain, EBITDA was €322 million 76% over last year thanks to higher sales price to the supply business and 40% higher output with 54% higher hydro, 17% higher onshore and 128 higher -- installed capacity has already reached 1,264 megawatts. In the U.S. EBITDA increased 76%, 74% to $260 million, with positive impact from the Texas and from the new capacity. In the UK EBITDA fell 2.5% to £209 million up to 29%? lower onshore production partially compensated by 56% higher offshore production due to contribution, and also the decrease has to do with lower prices. In the international business, EBITDA fell 16% to €91 million to the lower contribution and higher the relevant cost despite alto power increase contribution. In Brazil EBITDA grew 64% to 197 million to positive impact on settlements in a hydro concession agreements. And finally Mexico EBITDA grew 68% to $46 million thanks to higher operating capacity, coming from peer and offshore plants and generation and supply EBITDA decreased 31.8% to €520 million and 24% excluding 21 million negative effects and COVID impact. The business has been negatively affected by extreme weather conditions as I will comment. In Spain, EBITDA was down 39% to €279 million with 13% lower output or higher energy purchases at higher prices with additional impact are the phenomena storm and COVID. In Mexico, EBITDA decreased 33% to $147 million negatively affected by the Texas coal on price crisis of around 50 million that are expected to be recovered will reflect the higher cost of gas. In addition there has been an increase in access fees. In the UK the EBITDA grew 30% to £106 million with higher sales despite COVID effect mainly due to weather conditions, and improve margins and electricity and gas. Excluding COVID EBITDA grew 49%. In Brazil at 180 million relative to EBITDA highlighting the better performance of our plant. I mean the international business EBITDA was 14 million negative affected by cold snaps, development costs and lower revenues to COVID. EBIT was a 3% to 1.7 billion Euros excluding FX and COVID EBIT grew 14.4%. DNA fell 2.6% to 986 million but excluding FX grew 4.3% mainly due to the increased asset base and activity. Provisions were up 20%, $215 million but excluding FX and COVID impact grew 56% mainly due to Texas coal snap provisions and others. Net financial expenses grew €85 million to 265 million driven by 111 million, mainly linked to one of positive effects accounted for in Q1 20. More than offsetting the 26 million improvement in that related costs 13 million due to the lower cost of that improved 12 basis points and 30 million positive results due to lower average debt. Our reported guidance matrix improved. First the adjusted net debt due to the decrease in adjusted net debt of 1,319 million to 36.3 billion despite divestment efforts and thanks to the high -- during last year. Second, due to our resilient business model improving cash flow generation even in these difficult times as a consequence our adjusted net EBITDA remain at 3.6 times. Debt improved 1.4 percentage points 23.2% return cash flow improved to 21%. And our leverage ratio strengthened to 41.9%. As the chairman has mentioned, two recent transaction reinforces our group leadership in green and sustainable finance. Iberdrola has signed with 21 banks at €2.5 billion new sustainable grade facility at pre-COVID levels. After this transaction 90% of the group trade lines are sustainable expecting to reach 100% certainty. The line was linked to two sustainability indicators related to environmental and social issues. It is also the first transaction of a Spanish company reference to risk free rate instead of LIBOR. And let me also highlight their social innovation component for the first time our facility will include an annual contribution to sustainable project. The contribution will vary according to the degree of idealization of the line, and will be made in collaboration with all the financial institutions that have been that have signed this sustainable grid line. Also last April 15, Iberdrola launched a €5 billion sustainable promissory note program. And Iberdrola as of today remains the world's largest private this year of green bonds, adjusted net profit grew 12.4% to 1082 million compared to the Q1, 20 adjusted net profit of 963 million. Adjusted net profit exclude the extraordinary impact including COVID, and other nonrecurring items but not FX impact as we consider FX part of the risks that brings being a global player. Regarding corporate taxes in March the UK Government presented a new tax package that increased the corporate tax rate from 19% to 25% starting on the first of April and 23. As a result, we expect to account 450 million negative impact of deferred taxes in 21 in our P&L, but with no cash impact. This will be accounted when finally acted either in the second or the third quarter of the year. We expect this negative impact be totally or partially compensated by other positive impacts. There is today in the press some relate the news that we are still analyzing. In the annex, you will find the calendar for the final dividend payment. Now the chairman, we conclude this presentation. Thank you very much.
Ignacio Galan: To conclude, I would like to highlight in the first quarter results have exceeded our expectation and forecast. 20 years ago, we saw clearly the need to decarbonize the economy and the opportunities then these could bring in terms of investment industrial development and job creation. Since then, we have been leading the deployment of clean energy and power networks. And now we continue accelerating. In fact we are already ahead of the plan we presented to you last November 75% of the renewal capacity addition expected by 2025 are operating under construction of secure. 90% of our distribution investment are covered by regulatory frameworks already closed or leased to 2023 then we continue to expand our transmission activities. We expect our subsidiary simulation United State to continue performing ahead of estimate driven by a strong business outlook and the integration of -- distribution Brasilia and resources. About offshore -- are progressing faster than initially planned we are and we will benefit for increasing opportunities thanks to the auction and the growth platform. We have recently created in countries like Japan, Poland and finally, we are reaching relevant strategically to accelerate electrification with leading companies in different industries. All these give us in even additional assurance to reaffirm our guidance for 2021 and beyond. Today so we confirm our 2021 outlook to €3.7 billion to €3.9 billion in report and net profit. This exclude as mentioned potential adjustment due to the changes in tax regulations and the way in some countries, which is the case law like UK, being noncash items. Growth will be driven by the contribution of new renewable capacity, positive impacts for new rate cases in addition network investment and the ongoing improvement in operating efficiency in all countries. Given these net profit outlook today we can also ratify about our outlook for a shareholder remuneration of €0.44 per share against 2021 result. Now we'll be more than happy to answer your question in this moment. Thank you.
Operator: Let us move to the Q&A session. The first question comes from [Indiscernible].
Ignacio Arambarri: First of all this clarification about the guidance 2021. The net income guidance now excludes nonrecurring items and the deferred tax charge. Does these therefore exclude COVID impact and if so, to what quantum? Can you give us a guidance for EBITDA in 2021 or at least your views on the different business countries?
Ignacio Galan: So well I think what I can say what I said already, the execution of our plan is progressing better than expected 2021. I think we have already had higher revenues, the demand recovering, high production, operational efficiency, the acceleration of investment, etc, integrations of PNM resources and energy as well as our financial performance, which is improving our ratios, the FX impact and the control to the geographical footprint, which offsetting all these negative factors. So we are already expected to close resources along the second half of the year and in terms of net profit which we are not already expecting it despite research hydro higher than average they are not already expected anything is different on that one. With relation to countries, I think in networks, I think United States is performing well and I think their expectation is they're going to continue performing well. And they are really updated their outlook. In Brazil I think is the results are moving very well as well. And I think they are increasing heavily and I think we are not expecting any negative things in this direction. So, in renewables, we are already expecting to add in between 4000 and 4500 new megawatt before the year end, which I think they are going to contribute as well. And in the new prices I think we expect then they are ready to as well to have a really positive impact in our -- I think is in another side, I think the negative side of the COVID we hope, made and in the situation which is in most of the countries coming back to certain normality, I think that can be already be much minor then it was already in the first month. So, I think the only thing what we can already say it as non-recurring I think is these tax impact with non-cash which we need to already to adapt by just already to our account of because of the breakdown of the previous changes in the tax corporate tax from 19 to 25 I think which I think that can represent something of a few million to €400 million, €300 million which we can already adjust for our different taxes that is what we are contemplating in this moment. There are things as I mentioned, which are still we have not already included because we are still not properly analyze this appear in the media today about the hydro tax in Spain but the thing is still we have not already have tied to -- we will let you know I think in this moment, we will provide with this as soon as we make already an impact about the numbers will be affected. So the certain positive. We will let you know how much is going to be. Something which is not affecting to the [Indiscernible]. That is going to be something which is directly connected between the ministry and the companies is not at all already not related to the tariff itself. So but I think those are the main things I would like to clarify to you. We are very comfortable with the outlook we are giving to you because I think the things are going better than expected and we are not seen for the time being a part to the tax I think which I mentioned in we have not seen already a spatial risk is in the horizon. So we are already positive in our approach.
Ignacio Arambarri: The second question comes from [Indiscernible] RBC and is related to the topic you mentioned before is related to the tax effect and the writing of these of this question is following. Could one of the tax effects mentioned as compensation for you gain back to be related to today's news in the Spanish press about the recovery of the hydro tax in Spain for 2013 and 2014? If so, is it possible to quantify these hydro tax recovery? Probably the question has been already answered. But if you could add something additional.
Ignacio Galan: As I mentioned in the UK, I mentioned already. In Spain as well, I think that is positive. We have noticed the impact, how many years will be affected? We'll know in the next few days, as soon as, can already read in detail. But I think what we know is that is not affected at all to the deficit that is something which is between the companies and the Minister of Finance.
Ignacio Arambarri: Question comes from [Indiscernible] coming from another company on aggressiveness from other suppliers in Spain what is our commercial policy? Sustainability and supply margins currently?
Ignacio Galan: Well it's funny. So well I don't know I think it's true in the country is increasing competition on the entrance. So I imagine they're talking about that one. I think I will say no time. They welcome competition. I never been already -- criticizing the new, I think it's good. So that why I don't know what about what competitor talking about. What I can say for Iberdrola we have a very good marketing team. So I think our marketing people are already making a good product, good the services, they are already a very competitive cost of sale. They are a wide range of offers. And in a brand which is already well positioned in the country, and I think that is helping ourselves to maintain our customer base. We don't need to go already to the price go for that one. It's not our style. And I think that is not what we are making already in this particular time. I imagine they are talking about another the new commerce, which I think their job to do. I don't know what they're talking about. But I think what I can say about our marketing team is gaining their money. So I think they are paid they are well paid and they are working very hard.
Ignacio Arambarri: Next question comes from [Indiscernible] Bank of America Merrill Lynch, is related to the power prices in Europe. What is Iberdrola role in the sustainability of the higher prices given the forward curve in Spain is heavily backed war dated 2024 four words, well below 2022. Second point is do you fear any windfall tax to compensate? Number three, are you seeing renewables PPA prices rise in response to higher power prices? And finally, can you remind us on power price hits for 21 and 2022?
Ignacio Galan: Well, the first thing is the prices with this happened in Europe is very simple. I think the Co2 is represent roughly €50 which I think that is more or less is contributing to the price on the range of €20 to €25 on the time. The second one is the price of the of the raw material, I think the gas is already a levels of 60 or 65 per megawatt hour, which I think altogether it makes a price on the range of bodies we are achieving today on the range of this one. In the case of expanding bit more because we have already a 7% increase and 7% tax in the in the production. So I finished something which is absolutely logic. And I know as I used to say the carbon prices are not coming from Saudi Arabia. The carbon is already set, which is already is already being used for another proposal for decarbonizing the economy. I think that is collected by the fiscal authorities in different countries in which can be used already and is being used for already for giving already support on other activities and taking the decision to move from one person to one. So well that makes that one certain, we expect then the PPA's prices can already be making according with the price with the market. So PPAs is not something different is not abroad of the reality. So I think those are the times. I finish something which is all across Europe so the natural gas prices are increased. The Co2 prices increase for helping to make already decarbonisation of the economy. And I think that is driven already the price of electricity, which is really making in this moment. Saying that I think a position pack off our position of prices and the NHS, etc. Can you explain on that in detail?
Jose Sáinz: Yes. Starting with 2021, we don't expect any impact because all the price driven output is fully hedge right now. For 2022, 70% is hit around this at €75 to €80 per megawatt hour in the United Kingdom, similar overseas and in this case, 100% of the price driven output of the planet. This is very important because planning is one thing and the reality is another one. So what we have to face the reality there are adjustments in terms of demand increases and production that cannot be produced. And that's for 2022 as I finished, as I tell you or told you, and for 2023 onwards with decrease in manual quantities, according with customer's appetite. And you can say that for instance for 2023 we have 30% already sold and so on. So that's our position. The open position now with the forecasted prices are the higher levels will allow us to recover more money that we probably have forecasted before. And in this case, these 30% of these home for the next year will allow us to get more money. Still early to provide specific figure but this is what we are seeing coming on and for sure, when you have extreme weather conditions or we have had in Mexico or in Spain all these hedges work partially.
Ignacio Galan: I think, I would like to add this point that is already mentioned, I would like to add that I mentioned that the storm of Philomena has already affected our P&L in Spain however returns in Spain. Why? Because we are forced to buy electricity buy already gas at very high prices to sell to our customers we already agreed fixed prices and we have already had hedged. We have hedged already a normal demand but not excess of demand and nothing that is affecting to our result for the reason I think we are already covering hedging the normal then expecting normal demand but I think when they are already extraordinary circumstances I think we are already effect the negative the same thing already in positive. So I think we have not we have already not all the electricity hedge as mentioned. So I think the prices are higher. We are 30% which still is not already ahead for 2022 and the prices are higher we can really benefit are these better prices for the future?
Ignacio Arambarri: The next question comes from [Indiscernible] 19 point and is related to offshore wind. What impact from global supply chain inflation and bottlenecks should we anticipate for Iberdrola. Is Iberdrola concerned by inflationary pressure reducing offshore wind IRR given fixed price for future and costs yet to come?
Ignacio Galan: So the first thing I hope that this is a temporary situation of the price of the raw material steel, copper, oil etc. In our case, our need for investment already are almost covered. All the project underway have a very high share of CapEx costs already fixed let's say 80%-90%, contract has been had price indexation generally hedge as well. And I think I will remind to you that nothing last year we advanced orders for 14 billion this year for 4 billion I think altogether 18 billion, which I think that this already with prices. We have already reached an agreement. I feel in the case that's become a structural to ensure that we'll be passing to the price, in the same way we have already having with decreases in price of the equipment. In the past, I can give you the example of solar in the last few years we have been already happened in this in this manner. So which I think gives you already tranquility that most of our investment are already for the next period already with contract already signed and with hedges already done. And the minor parties already are still not in the same but again that is not already temporary that is a structural that will be passed to the prices as well.
Ignacio Arambarri: Question number 6 comes from [Indiscernible]. What are your most recent expectation for European Union stimulus funding from project? And could there be upside, if you are successful with your funding application.
Ignacio Galan: So I think the explain has already seen the plan to Brazil, as far as I know has been welcomed, because that is absolutely fit in with the European plans and expectation. We have already we are living this part on that one. As I mentioned, we have already make the 675 project in several fields in floating offshore, a green hydrogen, electric mobility, energy storage, with very many I've seen is 150 people already companies which are together with us in certain of those project we are living in, instead of, we are already participating. But we are not already leading those projects. As you know, together, they represent roughly €30 billion investment already presented. We can really create a defense of 1000 of jobs 65,000 people. As far as I know, all who has been presented in Brazil, all our plans are already allowed to participate in this one. So I think all are already been included in this. So but I would like to insist on that one in our investment plan in our long term plan is not already included those things. I think that is an additional thing that has to be already added to our existing target. So I think our 2025 plan and you know 75 billion investment is not included all these things which shall depend already of the different process of what they want will be approved in Brazil have to already pass through to the countries and they will make already imagine a G&S a certain market mechanism or whatever for making the auction or whatever thing to be able to have access to those things, but we will seek when it will be approved.
Ignacio Arambarri: Next question comes from [Indiscernible] Morgan Stanley, what impact does Iberdrola see from the US climate plan and proposed thus a credit changes for its business, given the company 2030 plan was outlined before the U.S. announcements and is there sufficient balance sheet flexibility to do more growth CapEx?
Ignacio Galan: So we no doubt that will bring massive investment opportunities. I've seen is but the positive thing is the main proportions are very well aligned with Iberdrola plans. So which I think is we've been for 20 years dream and then that happened and it's already happened. So tax incentives for clean energy and storage really accelerate renewables. Push for power grids driven by tax incentives to transmission and measure to improve resiliency is positive as well. New target of 30 gigawatts of offshore wind by 2030 is a good. They make already more, I think you know that yesterday, we got already the final permit with [Indiscernible] in Massachusetts. So I think it took a long time now, they would like to make already this in a manner. But I think we have already 7000 megawatts of pipelining in this area for that one in the United States. So all the things which are related to this ambition of offshore, we are ahead of the rest because we have already decide this and analyze the project design etc. And I think in network I think that the only point is the potential increase in corporate taxes. We don't know it is going to happen or not but in any case I would like to stress that our 80% of our business is net worth and it has already regulatory framework which are based on after tax returns. So means whatever changes in taxation is going not to affect in an important manner, one of the can really happen as it's going to happen in the case of Britain. It cannot already effect to our P&L. In renewables, I think that there are increases in taxation has a positive effect in the sense of a faster monetization of our tax credit. So I think that is going to help already in all these things. So which I think globally is very positive. So I think it's already absolutely in line with what we've been dreaming for years. And I think that I'm sure that is going to provide to our a subsidiary, just a huge opportunities of growth either in renewables onshore, offshore, especially offshore and as well in terms of networks and transmission.
Ignacio Arambarri: We have a couple of question from [Indiscernible] from Bloomberg. First of, can you please provide an update on the regulatory political situation in Mexico and Brazil?
Ignacio Galan: Well, in the case of Mexico, they have no news. I think from the last presentation I think, as you know, the proposed modification of electricity law was now suspended by boards. In the case of -- as approved yes the new tariff for -- has already yes, the annual tariff by the integration of Brazilian utility is going well. I think that is going to start in April. The construction of the transmission line what do we want to render in the past are going very well. And if we continue for looking at the opportunities of any auctions, which is going to happen. So I think the ministration containing very stable and predictable regulation and I think is a good example was already the contract COVID they make for helping finance the distribution companies during last year already a COVID confinement. So which I think that is there. So Mexico, part of the modification of the law is already suspended by courts and the company is already performing with normality and in Brasilia things are going really very well.
Ignacio Arambarri: The additional question is related to offshore wind. Some peers had problem with offshore transmission cabling, is that a risk for Iberdrola?
Ignacio Galan: So this is funny, well I say the answer, not we have no doubt. I think it's, we have been already making this sort of project of inadvertent transmission for 100 years. So I think we knows a bit all those things. Our offshore wind are designed to minimize this impact of water treatment and cable. So I think that is new for us. I think that remind to me this happened in a was already happened a few months ago when one of these guys who has already suffered in this problem talk about the blockage in effect. So which I said the same thing things of our experience. We consider all these operating scenarios when we design and we include all these in our future operation and maintenance costs. I think, for us it's not secret and we already taken all these, when we make already in our design to avoid negative surprises. I think what we're designing and we make our calculation of CapEx and OpEx going forward and coming into the auctions we take into consideration all these potential scenarios included in our design, included in our operation costs for the future. So I think we had not that one.
Ignacio Arambarri: Next question comes from [Indiscernible] your cost of debt fell 12 basis points in Q1 year-on-year. How do you expect your cost of debt to develop in the coming years if the recent increase of the bond yields continues debt expected by year end as well?
Jose Sáinz: Okay. Well first what I have to say that we have most of our debt fixed even with forward structure this level, our group that this is fixed at levels of 75% mainly the Euro and the dollar because in the Brazilian Real with various a pass through between the remuneration and the cost of debt that is the part that we have more and a little bit also with the British pound. So, we are obviously if interest rates, well the lower part of the curve that doesn't mean that interest rates are going to rise. So this means that not necessarily an increase in bond yields will affect strongly our cost of that. It could affect as I was saying the Brazilian Real race, but that is compensated by a bigger EBITDA. So aggressive bill, obviously, if we finance our long term that will have some impact. But we don't think it's going to be very big if it happens at least in the next couple of years. And that we are expecting by the end of the year, and if we including them the PNM acquisition will be around 43 billion. If we exclude that will be in the 36 billion - 37 billion but we expect us as the chairman has said to close PNM before the year end.
Ignacio Arambarri: From Citigroup makes this the following question. At which level are currencies head for 2021? 
Jose Sáinz: We will have already done them I would say around 80% - 90% we always leave a margin depending on the result etc. But I think that we are comfortably fixed and at better rates what we are seeing today for example, in the dollar.
Ignacio Arambarri: Next Bloomberg makes this following question. After approval, what are their projects should follow in the US? Do you see permitting process accelerating? What IRRs are we targeting?
Ignacio Galan: So I mentioned in United States, we're already in this moment, start construction. And I think we have already per city what we have already a PPA with Connecticut. So which thing is the next one, we are going to continue construction, I think one is we plan to be by 2023. Another one I think is 2024. So which I think that one followed another one. So altogether is 1600 megawatt. I think we have another additional 6000 - 7000 megawatt, which I think is mostly concentrated in Kitty Hawk in North Carolina. And in the 522 and the Massachusetts water, which I think is going to be part of the new offshore auction which is going to be already produced in the next few months. I think announced new auctions in New York, and we announced new auctions in New York 24 and Massachusetts, and I think -- as well or one of those. So I think that is our point. In terms of our return I think the return of per cities is similar levels of -- and I think we will see already for the next one we will try to make as we are making always that they will already a gave already some basic point over and I would work in all cases, which I think that it's been happening up to now which returns in most cases is over 200 basis points above their work. And that is our expectation. So we are already the next we start construction is a really positive which is already awarded. We have the PPA. We have all the thing and we are already in the process of the permitting with the new administration that is going to take much shorter than for obtaining and I think in our plan in 23 another one 24 will be fully operation and another one we will already with our 7000 megawatts of seabed available site available I think we will participate in the new auction which is going to appear in the next few months and therefore Massachusetts for New York for certain of New England and as well for Carolina or one of those states as well. So which I think we are working on that one. And we are very good position on this. I think I mentioned then we have already on a very good team in design and I think we are already making all these for the development of North Carolina and we just got Kitty Hawk project and they assume 522 we won a few years ago as well for being ready for participate in a disruption in the future.
Ignacio Arambarri: Question number 13 from James from Deutsche Bank, what news markets would you like to enter in renewables offshore?
Ignacio Galan: Well, I think we've been ready, it's good question because in the last few months, we have already open very heavily the number of markets I think we have started 15 years ago in Britain. So I think because that process takes a long time now we have already 1300 megawatts already close to that one in operation. We follow with Germany, we expanded to France but we are already expanding construction. We continue with Germany when they're wanting construction, we moved to another state, where we have already a couple of them already awarded with PPAs and we have started the construction of both. And I think in the United States, we won already sites in North Carolina for Kitty Hawk. We won already site as well, in the Massachusetts area 522 area, and during the last months, we had already got new opportunities in Japan, in Taiwan, in Ireland, in Poland, in Sweden, and we are even we are looking for some opportunities in Brazil, I think we are I am telling you that because this project takes in most cases very long period of maturity. I was telling you that we are starting with one, I think if I don't remember by the words we got already the permit on the 2008 2009, 20 or 30 years ago. So it took 20-30 years before this we found the start already a construction. So at that why I think we have to move already fast in all these in trying to get already near opportunities. But I think we can say we are across the globe in this moment. From Japan to the state from Taiwan to Sweden and from Poland to Britain and from Britain to Germany and from Germany to United States or Brazil.
Ignacio Arambarri: Last question for today comes from [Indiscernible] and he says the following; how important do you think that for a utility is to be vertically integrated and structurally long generation? Would this mean that expansion on renewable has to come together with a proactive supplier strategy? 
Ignacio Galan: Well I think we've been traditionally yes integrated company so which I think is no new for us. I think it's, it depends of the places. I think certain they are not ready you have to look who is going to buy your electricity. I think you're in a country that you have already millions of customers and I think we have dozens of million customers in some countries. So certain you have already or the possibility of selling your electricity through your customers but if not you have to make your, you have to look for your customers well unless there were already an auction then the assistant already takes on all this electricity but I think we are already this very practice strategy I can tell you for instance the case of Brazil, then we are started recently to be already active on that run. I think we have in the moment and so on hundreds of 1000s or millions of customers we are selling electricity. We are the same thing already doing in Britain we are doing the same thing in Australia we are doing recently. So yes I think we feel I'm coming from the industry and I think is in the industry you need a factory but you need as well a market and I'm very much convinced that we need to really to be very efficient in our factory but we very efficient in our marketing approach. So the question then some of your colleagues make before about our behavior in Spain we send in about marketing people who are doing very well their job and I think that is what they have to do. They are marketing people and they say forced to do the necessary for selling a good condition the electricity we produce but I think that's positive in any case.
Ignacio Arambarri: Okay, now please let me now give the floor again to Mr. Galan to conclude this event. 
Ignacio Galan: So thank you very much for being part of this conference call. As always our Investor Relations team will be available for any additional information you may require. Thank you very much. But I think I would like to give you the last word I am optimistic about how these things are performing. Thank you.